Operator: Welcome and thank you for standing by. At this time, all participants are in a listen-only mode. (Operator Instructions) I would now like to turn the meeting over to Rachel Stern, Senior Vice President, Strategic Resources and General Counsel. You may begin.
Rachel R. Stern: Thank you, operator. Good morning and thanks to all of you for participating today. Welcome to FactSet's Fourth Quarter 2011 Earnings Conference Call. Joining me today are Phil Hadley, Chairman and CEO; Peter Walsh, Chief Operating Officer; and Mike Frankenfield, Global Director of Sales. This conference call is being transcribed in real-time by FactSet's CallStreet service and is being broadcast live via the Internet at factset.com. A replay of this call will also be available on our website. Our call will contain forward-looking statements reflecting management's current expectations based on currently available information. Actual results may differ materially. More information about factors that could affect FactSet's business and financial results can be found in FactSet's filings with the SEC. In an effort to provide additional information, our comments include non-GAAP financial measures. The non-GAAP measures we will discuss today have been reconciled to the related GAAP measures in our earnings press release and our SEC filings. Annual Subscription Value or ASV is a key metric for FactSet. Please recall that ASV is a snapshot view of client subscriptions and represents our forward-looking revenues for the next 12 months. Lastly, FactSet undertakes no obligation to update publicly any forward-looking statements as a result of new information, future events, or otherwise. I'd like to turn the discussion over now to Peter Walsh, Chief Operating Officer.
Peter G. Walsh: Thank you, Rachel, and good morning, everyone. Here's how I plan to spend our time today. First, I’d like to discuss one house keeping item. Second, I’ll review Q4 results. Third, I'll give guidance for the first quarter of fiscal 2012. Finally, we’ll end with Q&A. Regarding the house keeping item, fourth quarter results included a pre-tax charge of $5.4 million or $0.08 per share from an increase in the number of performance based stock options at will vest due to accelerated levels of ASV in EPS than previously expected. We were pleased to hit the highest performance levels we set as goals two years ago through the strong efforts of our employees. Remember also that included in our prior year EPS is an income tax benefit of $0.01 per share. The reconciliation between GAAP and non-GAAP numbers is included in our earnings announcement that was released today. Now, let’s turn to the quarter results. Q4 was a record quarter for FactSet. ASV grew organically by $37 million rising to $779 million at August 31. Our organic ASV growth rate rose to 14% up from 7% a year ago. As in prior quarters, buy-side clients accounted for 82% of ASV. The remainder of our ASV comes from sell-side firms primarily M&A advisory and equity research firms. Non-GAAP EPS increased to $0.96 this quarter up 17% from a year ago. Our strong performance came from all geographic regions and product suites. Our business model is validated by our continued healthy growth. We think it is notable that FactSet is one of only six U.S. companies that have reported 15 straight years of positive earnings growth. Now let’s review Q4 results. Quarterly free cash flows, which is defined as cash generated from operations less capital spending was $64 million up from $63 million in the same quarter last year. Higher levels of net income in non-cash expenses were partially offset by higher receivables. Accounts receivables increased by $7 million compared to the end of the third quarter primarily due to our Q4 ASV growth. Our DSOs were at industry leading 35 days at quarter end. We spent $7 million in CapEx this quarter. Of our total CapEx in Q4 about $4 million went to computer equipment and the remainder we spent on office expansions. Over the last 12 months, our free cash flow exceeded net income by $6 million, which we believe illustrates the high quality of our earnings. At the end of this fiscal year, our cash and marketable security balance was $182 million down $27 million from Q3. During the quarter we repurchased $890,000 of FactSet stock for $84 million. At August 31, shares outstanding were $45.1 million and there was a $142 million authorized for future share repurchases. During Q4 we paid a regular quarterly dividend of $0.27 per share for a total of $12 million. Aggregating dividends with share repurchases we returned $261 million to shareholders over the past 12 months. Let’s now turn to the P&L. FactSet’s revenues rose 14% compared to the year ago quarter to $191.9 million. Q4 non-GAAP operating income advanced to $64.4 million up 12% compared to last year. Non-GAAP net income increased 16% compared to the year ago period to $44.6 million. U.S. operations accounted for $533 million of ASV while international operations were responsible for $246 million in ASV. International operations accounted for 32% of our total ASV. U.S. revenues expanded in Q4 to a $132 million up 15% from the same quarter a year ago. Non-U.S. revenues also rose over the last year by 12% to $60 million. Revenues from Europe and the Asia-Pacific regions in Q4 were $47 million and $13 million respectively with growth rates in each region of 11% and 17% respectively year-over-year. Let’s look at some of the reasons behind our ASV in revenue growth this quarter. Our PA suite of products has continued to perform well. In fact, over 50% of our new investment management client signed on for a Portfolio Analytics this quarter. Within the suite of products, subscriptions to PA 2.0, SPAR, Fixed Income in PA and particularly Portfolio Publisher were all in demand. User count rose to 48,100 at quarter end an increase of 2,500 or 5% during Q4. We experienced healthy growth in both investment management and investment banking. Advances in our real time offering and credit analysis are improving our penetration in buy-side clients. Sell-side burns increased the number of new junior bankers due to higher M&A volumes and a strong IPO environment over the past 12 months. Market metrics introduced a new local market share products for fund companies. The product enables management to understand the value and penetration of their own products in local markets in greater detail than they’ve been able to examine before. This product has already been successful. Client retention has also been strong as we’ve retained 92% of clients at August 31, as compare to 90% a year ago. Our annual client retention rate in ASV terms was greater than 95% consistent with last year’s rate. These metrics together tell us that our clients continue to value the FactSet service and that our services are well embedded in our client workflows. In a vision to retaining existing clients, we've also attracted many new ones. We’ve gained 50 net new clients this quarter compared to 35 in Q4 of 2010, bringing our total client count to 2,237 at the end of this fiscal year. Let’s take a look at the expense side now. Non-GAAP operating expenses for the quarter were $128 million up 15% from the same quarter a year ago. Non-GAAP operating margins were 33.6%. As mentioned in the beginning of our call, non-GAAP figures exclude a pre-tax charge of $5.4 million related to performance based stock options. Cost of services as a percentage of revenues increased 205 basis points over last year. This increase was a result of higher stock base compensation expense, the addition of employees in our Hyderabad and Manila locations to support our content operations, and the hiring of consultants in other locations worldwide. These increases were partially offset by lower expenses from many of our VMF machines becoming fully depreciated over the past year, in addition to lower intangible asset amortization and data collection costs paid to third parties. SG&A expenses as a percentage of revenues rose a 135 basis points compared to the same period last year due divesting of performance-based options. In addition, we had higher office expenses due to our increasing headcount. T&E was lower this quarter, because in Q3 we held our internal sales conferences and two client conferences. We surpassed the 5,000 employee mark this quarter as our headcount rose by 446 employees during the quarter and was 5,251 at quarter end. Our headcount is up 28% compared to the same period a year ago. Many new recent college graduates joined us to fill client facing and software engineering roles. We hired new employees in our content operations in Hyderabad and Manila and even while improving and streamlining our data collection capabilities. Our two year compounded annual employee growth rate is 33%. We’re excited by this fact, because as is typical of new employees, productivity increases at a rapid rate over the initial years of employment. We expect that we’ll enjoy the benefits of the recent new employee growth in the upcoming fiscal year. The effective tax rate for Q4 was 30.9% compared to 31.7% a year ago. Now let’s turn to our guidance for the first quarter of fiscal 2012. Revenues are expected to range between $195 million and $198 million. EPS is expected to range between $0.98 and $1. We expect that capital expenditures for the full 2012 fiscal year should range between $22 million and $30 million net of landlord contributions. We project that our annual effective tax rate will be 31%. Please note that our annual effective tax rate would increase by 150 basis points at the U.S. Federal R&D tax credit, which will expire on January 1, 2011, is not extended for calendar 2012. In conclusion, we delivered another solid quarter and a strong end to our fiscal year. I think it’s worth taking a moment to highlight some of our accomplishments. For starters, during this past fiscal year, organic ASV grew 14% to $779 million. EPS rose 15% to $3.61. Free cash flow was $178 million. Through dividend and share repurchases we returned $261 million to share holders this year. The return on our equity was 34%. We also had some other high points this year. We were again named Fortune's “100 Best Companies to Work For” list, our third time in four years. We remained to one of the UK’s 50 best workplaces. We increased head count by 28% this year. These are simple metrics that demonstrate that we are growing. We believe we’re getting stronger and we’re a full fledged mid-sized company poised for future growth. FactSet view success over a long-term, which requires us to make new investments in our products and technology in every quarter of every year. This philosophy has translated to our products becoming more competitive in the market place. During the last year the capabilities our products suite for both the buy and sell side professionals advanced again. We continue to offer an extensive lineup of content and our employee base is relentless improving the client’s everyday that we care through superlative hands-on service. The accolades we’ve earned in the milestones we’ve hit this year are all indications to us of an engaged committed and workforce. Our employees constitute our future and we’re pleased to see our employee base is growing and performing well worldwide. In summary, for this year as a whole, all of our metrics were positive, ASV, revenues, EPS, client and workstation counts and employee growth. This past year has shown the strength of our business model achieved through serious hard work by our employees from each key member to the senior most manager. We still have a long road ahead of us and we look forward to the challenges that we’ll undertake in our new fiscal 2012 year. Thank you for your participation in today's call. We are now ready for your questions.
Operator: (Operator Instructions) Your first question comes from Peter Heckmann, Avondale Partners.
Peter Heckmann – Avondale Partners: Good morning, gentlemen. Nice quarter. I wanted to ask on the international operations. How do you see growth coming from there, I’m still updating a few figures. But on that smaller base it seems to me that we can expect a better growth or higher growth levels from the international business. Can you talk about the outlook there a little bit?
Peter G. Walsh: Good morning, Peter. How are you doing? So (inaudible) interesting you bring that one up, because it was definitely one of those that we are looking at before the call. And I think we’ve basically concluded that it was the first time really we’re directionally, it wasn’t the right answer from where the business really is. I think right now, my gauges are non-U.S. growth rate is probably a couple of hundred basis points greater than our U.S. growth rate. And in accounting level and the way we’ve been handling it, it has lot more to do with where the billing is occurring as opposed to where the revenue is actually occurring. And so the answer to your question, I think that the opportunity for us there is a higher growth rate organically than in the U.S. just because of market opportunity and growth in certain regions and currently it’s probably supporting that. We will refine those numbers in future periods to give greater color.
Peter Heckmann – Avondale Partners: Do you find that you’re facing substantially the same competitors and the same type of competition in the international markets there? Or are there vendors that have uniquely strong presence in certain markets?
Peter G. Walsh: The quick answer is it is the same vendor worldwide. Bloomberg, Thomson Reuters and S&P would be the three biggest that are out there worldwide market place. Certainly, market-by-market there are local competitors that exist and might provide narrow solutions, but typically not global solutions to our clients.
Peter Heckmann – Avondale Partners: Okay. Okay. And then just lastly as regards that your hedging program, last time I looked, if I remember correctly, some of those hedges were expiring. Can you talk a little bit about your theory of hedging and if we would expect to see you engaging in additional hedging activities here in this quarter or next?
Philip A. Hadley: Sure, hi Peter.
Peter Heckmann – Avondale Partners: Yeah
Philip A. Hadley: Thanks for your question. In our hedging program I’ve certainly encouraged everyone to spend time looking at our queue in cases. We have really outlined very carefully what our exposures are for every currency. Philosophically but what we really hedged when we know that we can lock in again to give us confidence in allocating more capital to other expense areas like headcount. So if you went back and looked at our hedges or GDP hedges has completely rolled out and our year hedges scheduled to expire in this coming first quarter and so will be utilizing the same rates it would be available in today’s marketplace.
Peter Heckmann – Avondale Partners: Okay, I appreciate thanks so much.
Operator: Next question Peter Appert, Piper Jaffray.
Peter Appert – Piper Jaffray: Thanks, so you guys had great success with your strategy of more ownership of data. Can you help us understand where you are in that process, is there more to be done in terms of greater ownership dating and how do we think about how that has translated into revenue growth for you guys?
Philip A. Hadley: Peter this is Phil. I don’t think in the technology business we have ever done, it’s one of those where you we just finish the fiscal year is certainly part of (inaudible) we’re done we won, that’s just not the way the marketplace works. So on the content side of our business obviously we’ve had significant headcount growth and we will continue to invest in opportunities as we season in the marketplace, we compete against very large players in the space that have greater scale than we do. So it’s going to require a lot of investment from our part. On the other side of it, I think it’s materially changed the product in the marketplace and how we are able to sell it, we live for decades in partnership with our data suppliers, but in some times they were very direct competitors of ours and made selling very difficult. So having ownership of our own content has really free in the sales force to be able to provide a complete solution to our clients and made us much more effective in that respect. At the same time we are still a large supplier of third-party content through our system and OEB part of the business model. So in the chapter of where we are I am not sure where is level end, but there is still great opportunities for us as we go forward.
Peter Appert – Piper Jaffray: I guess I was hoping Phil you might be able to give us some specific metrics about you know because I don’t have in my head that, if I go back 10 years very small percentage of the content you’re delivering was proprietary or FactSet owned and today that percentage would be much higher. Is it possible to think about what those percentages look like is a way to think about how much more revenue opportunities left in that regard?
Philip A. Hadley: I’m not sure I could give you a key metric Peter. I know headcount is over half of our headcount at this point. But at the same time, for example when it comes to real-time exchanges, we invest a great deal at this point, loading real-time exchanges, which is really third-party content, that content reflecting being true with new speeds and so there is lots of content that continues to come on to the system, it’s not content that we create. So it’s really a combination in the value for our client.
Peter Appert – Piper Jaffray: Okay. And does the pace of hiring slow in ’12, I think that what I thought I heard Peter say was you get margin leverage from productivity gains from the folks you hired this year, presumably those gains only really flow through to the extent that new hiring slows a little bit, is this that how should – we should think about it?
Philip A. Hadley: Thanks Peter. I mean, I think in summary the short answer to the question is yes it’s most likely just slow, more consistent with our ASV growth rate. And that’s really the beauty of our ASV model that it provides us great visibility and time to adjust our investment rates quarterly, I mean if you look historically, it’s not unusual for our ASV to closely track on an [LTM] basis, our revenue six months into the future. And that’s importantly valuable since you know compensation represents 65% of our total costs. So far, our ASV growth rate change is substantially up or down, our focus on ASV will allow us to be thoughtful and calibrate our headcount plans to adjust the expense levels so that we can maintain our margins.
Peter Appert – Piper Jaffray: Got it. Okay. And then last thing, if pace of repurchase activity accelerated through the year, I think you’ve got $140 million has left of authorization. How do we think about pace of activity going into 2012?
Philip A. Hadley: Well you certainly highlighted a high quality problem that we have and in summary, we have a $181 million in cash and you can double that amount if you add the free cash flow that we generate over the last 12 months that we have $360 million to think about. Our objective is really maximizing EPS and return from deploying that capital towards M&A opportunities, share buyback and dividends. We talked about the $261 million that we’ve returned this year through dividends and buybacks, because we’ve been quiet on the M&A front. And it's true that in Q4, we’re a little more aggressive on the share buyback primarily because our price declines significantly during the quarter. So in summary, capital allocation is a decision that we constantly revisit and we take very seriously, because it’s important for us to maximize the opportunity that’s in front of us.
Peter Appert – Piper Jaffray: Okay. Thanks.
Operator: Next question Dave Lewis, JPMorgan.
David Lewis – JPMorgan: Hi good morning. First question is of course with regards to the financial industry right now and the (inaudible) instead have happened. Could you give us a sense from what you’re hearing in August and September and given that I think there has been a change in the subscription contracts by about three months from month to month. How we should think about that in the coming quarters?
Michael D. Frankenfield: Hi, Dave its, Mike Frankenfield. There is certainly a lot of press up there, but what we are experiencing isn’t new. We’ve seen this type of adjustments happened many times in our history of FactSet. Couple of points that I would like to point out about the sell-side as Peter mentioned in his opening remarks 18% of our ASV comes from the sell-side service comparatively small when you look at the total mix. Most of the headcount discussion that I think people are reading about doesn’t necessarily affect our user base, you should recall our user base is focused on the quarter finance analysts and primarily in equity research and that’s not necessarily the users that are being focused on in the press. We worked with our largest firms to put long term agreements in place and I feel like we are in a good place with our largest firms that have established good basis upon which we can fill and really a lot of our strategy now is going into these firms and finding new pockets of users. We have great opportunities amongst the senior bankers in departments like sales, trading and then we continue to drive an appeal of our product to attract more users. Really for us the key is to focus on our execution, delivering good product to our end users and continuing to focus on what we do best.
David Lewis – JPMorgan: Thanks Mike. That’s a good detail. So is it fair to take away from that the commitment levels from the positions that are more vulnerable on the sell-side and where do you have exposure there is longer term commitments there than perhaps three years ago?
Michael D. Frankenfield: We certainly worked hard to put those types of agreements in place and the other thing I’ll point out is that the typical marginal cost of a user on the sell-side is much lower than the average workstation cost amongst the type of management client base and this is primarily because those users don’t subscribe to the analytics product. (Inaudible) we think those will affect us proportionately less than they would otherwise.
David Lewis – JPMorgan: Thanks Mike. And then I guess just last one from me on this is are you seeing anything different in terms of pricing from competitors in recent months?
Michael D. Frankenfield: We haven’t seen any material changes in pricing.
Philip A. Hadley: I would concur with that. So the marketplace is – as the players in the space, they’re pretty consistent through the time and their behavior and how they act in the marketplace is also pretty consistent.
David Lewis – JPMorgan: Thank you.
Operator: Next question Chris Kennedy, Oppenheimer.
Chris Kennedy – Oppenheimer: Good morning, thanks for taking my questions. Can you go into a little bit more detail on the adoption rate of the portfolio analytics products and kind of how that’s been trending over the last couple of quarters and kind of what changed this quarter to get it over 50% for your new clients?
Philip A. Hadley: I think the metric that we gave over 50% of new clients, it wasn’t an increase relative to history just that’s obviously an interesting fact just because the portfolio as we’re certainly a positive contributor to our ASV growth – actually not a metric we track historically, so couldn’t even really give you the context over a long period of time, but one that I thought it was illustrative of (inaudible).
Chris Kennedy – Oppenheimer: Okay, it’s great. And then on the macro environment, you touched on the sell-side, if you could just kind of talk about the buy-side, new firm formations or whatnot?
Philip A. Hadley: There’s the steady rate of new firm creation I think that’s reflected a little bit in our new client growth, there is also a regular amount of firm failure something – some of the volatility that’s going out in the marketplace that affecting everyone, but it especially affects the smaller firms, but the [facility] is very much the same as it is in the sell-side, we’re really just focusing on the factors that we can control, the PA suite that you just mentioned, it represents some very, very strong cross-selling opportunities for us, most client only subscribe to one or two of the products in that suite and we’re seeing great up tick in terms of the publishing product, fixed income, the SPAR et cetera.
Chris Kennedy – Oppenheimer: Great, thank you.
Operator: Next question Shlomo Rosenbaum, Stifel.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Hi, thank you very much for taking my questions. Phil, I was wondering if you could comment a little bit about if you noticed a change in your competitive win rate over the last quarter and then if you could talk about over the last year?
Philip A. Hadley: I would say that if you look at FactSet in our product line and as our clients has the product change in the last three to five years. I think the answer is, we’ve put a lot of content in the product the interface has changed. So I think we’ve become a much more competitive product in the marketplace. The net impact of that is really is too full. Certainly when we are going so to sell with an opportunity against one of our competitors, I think we definitely come out ahead more than we used to. In addition, I think it creates a lot of reasonable opportunities with us as well. We continually talked about the ASV and the suite of products around that in many cases there, it’s really value that we’re creating a new work flow or problems that we’re solving for our clients and not necessarily coming out of competitor.
Shlomo Rosenbaum – Stifel Nicolaus & Company: So when I think of the way that you guys have been growing in both, in terms of the users and the clients, would you say that your competitive win rate has been going up in the last year, the way that you guys are tracking it?
Philip A. Hadley: I think we’ve always answered the question that we believe that we’re gaining share. It’s hard for us to know exactly what’s happening on the other side. We could see the lens from just our seats, but I think our belief is that we’re gaining share in the marketplace.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Okay. And let me ask a question maybe a little bit differently then. The user account growth is certainly impressive, and I was wondering if you have a way of parsing it in terms of as if it is more from new client ads or is that really reflecting a better penetration of the existing client base?
Philip A. Hadley: I think the new user account is almost always same store sales for the bigger client just because of the population they have in the whole industry and the fact that when we signup a new client they traditionally signup small. But even if it is a big opportunity in a firm where there might be 100 seats available, we may only start with four or five in some cases and work our way to 100. So, if you’re looking at a particular quarter for the most part, its same store sales driving that fee count.
Shlomo Rosenbaum – Stifel Nicolaus & Company: And that would be the same for this quarter as well?
Philip A. Hadley: Yes.
Shlomo Rosenbaum – Stifel Nicolaus & Company: And then, can you talk a little bit if you’re getting what your census in terms of attraction in the corporate space, just outside the asset management industry. Talking to a number of companies, they’ve told me that they’ve been piloting FactSet versus some of the competitors?
Philip A. Hadley: The corporate space is a small segment for us. We don’t dedicate any direct selling efforts to that space and the way we think about that space is through partnerships. We have partnerships with firms like NASDAQ and IPRIO and other firms and we allow them to resell either applications or data into that space.
Shlomo Rosenbaum – Stifel Nicolaus & Company: Great. So given the growth rate that you guys have, what would you say is your largest concerns in terms of looking about three years and how you want to grow this company?
Philip A. Hadley: I just, I would care, because I spend very little time when I think about the macro environment. We’ve gone through several cycles in my career and honestly the business strategy and the down cycle and enough market are really very similar certainly after manage the financials of the business and your investment, but the strategy that you’re impacting the market place is very I think for us, we really look at ourselves and it’s all about execution for us. We’ve made a huge investment in content and we’d be excited to see that pay dividends over a long period of time. We continue to invest very heavily in our product and as you can see FactSet is really a people business. It’s all about our employees and how well they execute and I couldn’t be prouder of how we compete in the market place and the success we have, because it really comes from just the old fashion hard work and very talented employees.
Shlomo Rosenbaum – StifelNicolaus & Company: Okay. And last question, just housekeeping, couple of times in the past you’ve commented what percentage of your ASV was coming from hedge fund type clients. Last I heard it was somewhere around the mid single digits, is there any update there?
Peter G. Walsh: I don’t think that number has moved. I mean relative to those totals I would say it’s exactly the same as it has been.
Shlomo Rosenbaum – StifelNicolaus & Company: All right. Well, thank you very much guys.
Operator: (Operator Instructions) Your next question comes from Robert Riggs, William Blair.
Robert Riggs – William Blair & Company, LLC: Good morning. Thanks for taking my question. How penetrated do you think you are at your existing client base if you were to use kind of a base follow analogy is it third inning, fourth inning, what’s the run rate for revenue growth among that existing customer base?
Peter G. Walsh: I guess the easy way to think about it is I think the industry is in the teens of billion. So it’s 700 million, we still have a long way to go. When we talk about our opportunities internally or even at the board level market share is nothing and so I think we have at this point. It’s really just about executing on product in the market place.
Robert Riggs – William Blair & Company, LLC: Okay. And then as you continue to add more proprietary content does that meaningfully expand the addressable client base or is it still kind of around that 6,000 institutions that are your key target markets?
Peter G. Walsh: I think we use the 6,000 number just because it’s a number that we feel comfortable identifying. But by definition as we expand our product line in different dimensions, the potential client count increases. Every work flow we change improves our opportunity to be able to sell it to a new client.
Robert Riggs – William Blair & Company, LLC: Great, thank you.
Operator: Next question, John Neff, Akre Capital Management
John Neff – Akre Capital Management, LLC: Hi, thank you. Two questions, one, I believe you’ve mentioned earlier that there were some contracts in place with some of the larger firms and I was just wondering if you could comment on to what extent or what percentage of ASV is currently under contract as opposed to the sort of more sort of real time add, subtract or cancel kind of nature?
Michael D. Frankenfield: Hey, John its, Mike. Don’t have that statistic. You know, we typically work on agreements with our largest clients, agreements on a one-off basis to meet the particular configuration that they are trying to achieve with their user community.
Philip A. Hadley: It’s typically driven by the clients that are looking for comfort in what price increase is going to be and scaling their deployments and used in other factors that come into play. So it’s really a mutually agreed upon contract. It’s beneficial to both sides.
John Neff – Akre Capital Management, LLC: But would you say it materially changed as in terms of frequency or significance in terms of the overall ASV mix?
Philip A. Hadley: I wish I could give you a straight answer. I think it really implies primarily to both sell-side firms will be very traditional and wanting contracts for the product. Buy-side less though they would probably fall more on the traditional fact that contract of 90-day [counter] clock.
John Neff – Akre Capital Management, LLC: Great and then, second last question. I think mostly of your sort of market share gain probably coming primarily at the expense of Thomson Reuters and I was just wondering as you continue to improve the product and think about product development and the road map looking ahead multiple years, if you could just sort of talk about how you think about competing versus Thomson Reuters versus say a Bloomberg compare and contrast what do you feel like you need to do better in order to compete with Bloomberg versus the Thomson Reuters, just trying to get any kind of sense of how you think about that competition. Thank you.
Philip A. Hadley: We really spend our workflow trying to solve client problem, (inaudible) internal RPD product data base that fix in all client suggestions for our product and then it gives bundled by our product developers and eventually turn into a product. So we really spend our time try and solve client work flows and improve the workflows that we currently have. The side effect of that is we produce a competing product in the marketplace. So, don’t necessarily spend our time trying to pretend to be like Thomson Reuters or Bloomberg or S&P, we really focused on being FactSet and delivering more value to clients. The belief being that if our client uses our product more there is more value creation and ultimately, it will monetize itself that it gives us a competitive advantage in the future. And as we look forward, I think that we feel very good with the investments we’re making and allocating on the products side, the sales side and the content side of our business and we will deliver positive returns in the future.
John Neff – Akre Capital Management, LLC: Thanks very much.
Operator: Next question Dave Lewis, JPMorgan.
David Lewis – JPMorgan: Hi guys, thanks. I just have one quick follow-up here. I think this is a question for Mike. Mike, can you just provide a little more detail on the traders desktop and discuss the value proposition to the user versus competition and just help provide, help frame how big that opportunity is in the buy-side and sell-side? Thanks.
Michael D. Frankenfield: The main thing we’re doing to extend our footprint is adding content and in particular, we’re making content improvements in terms of real-time quotes and real-time news. Those are in the history of FactSet competitively new initiatives and we’ve worked on for many years now, but they’re still new to our user community. So we’re working hard to push that product out into the marketplace. The natural by-product of doing that is that our existing users talk to other users within the firm, other potential users and we create add-on sales opportunities. We’re very, very small in that space. We don’t have any order execution capabilities though we’re partnering with several different [OMS] providers that provide that type of capability. So in summary, the opportunity is extremely large, much larger than our current business, but we’re in very, very early stages of moving that product out.
David Lewis – JPMorgan: Thanks Mike.
Peter G. Walsh: Thank you, everyone.
Operator: At this time, there are no other questions. This does conclude the conference for today. Please disconnect your lines at this time. Again, today’s conference has concluded, please disconnect your lines at this time.